KC Kelleher: Welcome to the Angel Oak Mortgage, Inc. fourth quarter 2025 earnings conference call. Today’s call may include forward-looking statements that may cause actual results to differ materially from current beliefs. We disclaim any obligation to update our forward-looking statements in light of new information or future events. For a more detailed discussion of the factors that may affect the company’s results, please refer to our earnings release for this quarter and to our most recent SEC filings. During this call, we will be discussing certain non-GAAP financial measures. More information about these non-GAAP financial measures and reconciliations to the most directly comparable GAAP financial measures are contained in our earnings release and SEC filings. This morning’s conference call is hosted by Angel Oak Mortgage, Inc. Chief Executive Officer, Sreeniwas Vikram Prabhu, and Chief Financial Officer, Brandon Robert Filson. Management will make some prepared comments, after which we will open up the call to your questions. Additionally, we recommend reviewing our earnings supplement posted on our website, www.angeloakreit.com. I will now turn the call over to Sreeniwas Vikram Prabhu.
Sreeniwas Vikram Prabhu: Thank you, KC, and thank you all for joining us today. Our fourth quarter and full year results were encouraging, serving as a testament to the strength of our earnings engine and our dedication to our process. We delivered our second consecutive year of double-digit net interest income percentage growth alongside our third consecutive year of operating expense reduction, emphasizing the stability of our platform and the strength of our operations. We executed our proven strategy, demonstrating its value in an evolving and constructive market environment as we navigate a shifting rate backdrop. GAAP book value per share increased year over year due to improving valuations in our legacy securitizations as rates move lower as well as high net interest income supported by our deployment of capital into high-yielding investments. Credit performance remains strong, both in aggregate and relative to the overall market, and we believe our portfolio remains well positioned to perform comparably well over a range of macroeconomic outcomes. We continue to see the benefits of our deliberate early decision to step up in credit quality and focus our balance sheet on assets that we believe are resilient across a range of economic outcomes. The broader interest rate environment in 2025 was characterized in general by decreasing rates across the curve and over the course of the year, amid shifting expectations around the pace and the path of short-term rates. While uncertainty remains, we are optimistic that short-term rates will continue to decline and we will see further steepening in the yield curve. Securitization markets were healthy throughout 2025 with tightening spreads and healthy investor demand supporting attractive term financing for our investment portfolio. We participated in four securitizations and called two of our legacy deals from 2019, enabling us to redeploy the de-levered capital into higher-yielding assets. Notably, we also completed our first HELOC securitization. We believe HELOCs are an attractive and growing asset class and we expect to continue to invest in them, though we remain focused on our core strategy of acquiring and securitizing high-quality non-QM loans. We had a new warehouse credit facility in 2025, diversifying our lender base and continuing to optimize our funding mix to support high-quality loan purchases. Additionally, we completed our second issuance of senior unsecured notes, the capital from which was quickly deployed into accretive target asset purchases that generated incremental earnings within a quarter of the debt issuance. These actions position us to sustain and further enhance our net interest income increases as we move forward while maintaining a prudent approach to leverage and liquidity. Looking ahead, our addressable market remains significant and continues to grow, driven by structural demand for non-QM solutions and ongoing need for specialized mortgage credit. Within this market, Angel Oak Mortgage, Inc. has established itself as a leading non-QM platform with differentiated sourcing, underwriting, and financing capabilities. Our consistent securitization execution, combined with strong collateral performance and a growing track record of the AOMT shelf, positions us to capture attractive risk-adjusted opportunities. We will continue to manage recourse leverage prudently, emphasize net interest margin and earnings growth, and focus on the segments of the market where we see the most compelling long-term risk-reward. We believe our results and momentum prove that Angel Oak Mortgage, Inc. is well positioned to operate through a range of economic environments, to continue strong performance within the existing rate landscape, and to deliver risk-adjusted returns and long-term value for our shareholders across cycles. I will now turn the call over to Brandon Robert Filson for the financial results.
Brandon Robert Filson: Thank you, Sreeni. Fourth quarter results tracked in line with our expectations and, as Sreeni mentioned, capped the second consecutive year of expanding net interest income alongside continued operating expense reduction. Interest income increased 30%, and net interest income increased over 11% year over year versus 2024, from $110,400,000 to $143,700,000, and from $36,900,000 to $41,100,000, respectively. This growth was supported by a 15.4% reduction versus 2024 of operating expenses, including securitization costs and stock compensation, as we continue to push hard on cost rationalization and key expense savings initiatives. Valuations were supportive during 2025, and in the fourth quarter, driving increases in valuations across the portfolio. As of today, we expect that our book value moderately increased compared to the end of 2025 as the rate curve continues to steepen. For 2025, we had GAAP net income of $11,300,000, or $0.45 per diluted common share, compared to a GAAP net loss of $15,100,000, or $0.65 per common share, in 2024. For the full year, we had GAAP net income of $44,000,000, or $1.80 per fully diluted common share, representing a 53% growth, versus $28,800,000, or $1.17 per diluted common share, for the full year of 2024. Distributable earnings in Q4 2025 were $7,300,000. The primary driver of the difference between this and our GAAP net income of $11,300,000 and distributable earnings was the removal of $8,400,000 of net unrealized gains from our securitized loan portfolio, offset by $4,000,000 of unrealized losses from our residential loans and hedge portfolios. For the full year, distributable earnings were $14,600,000. The primary driver of the difference between this and our $44,000,000 of GAAP net income is the removal of $28,600,000 of unrealized net gains on our securitized loan portfolio. Interest income for the fourth quarter was $39,000,000 and net interest income was $10,900,000, marking a 22% improvement in interest income and a 10% improvement in net interest income compared to 2024. Compared sequentially to 2025, interest income increased by 6.5%, and net interest income increased by 7%. For the full year, interest income was $143,700,000 and net interest income was $41,100,000, which translates to increases of 30% and 11%, respectively, compared to the prior year. This increase in net income was driven primarily by a steady purchase of securitizations of newly originated loans, higher weighted average coupons on our overall investment portfolio, and decreases in funding costs as a percentage of borrowings associated with our residential whole loan portfolio, as well as the consistent securitization market. We expect our net interest income to continue its growth trend with earnings generated from accretive loans purchased throughout the year and ongoing securitization activity. Our $861,800,000 of loan purchases in the year carried a weighted average coupon of 7.79%, with a weighted average combined loan-to-value ratio of 65.4% and a weighted average credit score of 756. Our total residential whole loan portfolio had a weighted average coupon of 7.38% as of the end of the quarter. The non-QM portion of our whole loan portfolio carried a weighted average coupon of 7.09%, and HELOCs and closed-end seconds carried a 9.75% weighted average coupon. As of the end of the quarter, loans in securitization trust portfolio carried a weighted average coupon rate of 5.97% with a weighted average funding cost of approximately 4%. As mentioned, the securitization market remains constructive, and we intend to continue leveraging the current strength through our disciplined, methodical securitization strategy. We executed four securitizations over the course of the year, in addition to calling two of our legacy deals from 2019, keeping in line with our stated goal of four securitizations per year. In total, we securitized $704,000,000 in unpaid principal balance across these four securitizations. In the fourth quarter, we completed AOMT 2025-10 as the sole contributor, contributing a balance of $274,300,000 in loans. Additionally, we participated in AOMT 2025-HB2, Angel Oak Mortgage, Inc.’s HELOC securitization, which was a $281,400,000 securitization, of which we contributed $58,600,000 of HELOCs alongside other Angel Oak strategies. Operating expenses for the fourth quarter were $5,200,000. Excluding non-cash stock compensation and securitization costs, fourth quarter operating expenses were $3,000,000. For the full year, operating expenses were $16,400,000, representing a decrease of 15.5% compared to 2024. Excluding non-cash stock compensation expenses and securitization costs, operating expenses for the full year were $11,500,000, representing a decrease of 15.4% compared to 2024. Going forward, we expect to maintain similar operating expense levels, and we will continue to be as efficient as possible with our expense structure. Looking at our balance sheet, as of the end of the quarter, we had over $41,000,000 of cash, and our recourse debt-to-equity ratio is 1.4x. We expect to continue to prudently manage our recourse debt-to-equity ratio going forward. GAAP book value per share increased 1.3% to $10.74 as of 12/31/2025, from $10.60 as of 09/30/2025. Economic book value, which fair values all non-recourse securitization obligations, was $12.70 per share as of 12/31/2025, down 0.2% from $12.72 per share as of 09/30/2025. The growth in GAAP book value was driven by improving valuations in our legacy securitizations and higher operating income, while economic book value decreased slightly, as expected with the normalization in those legacy valuations. We ended the quarter with unsecured residential whole loans at a fair value of $294,100,000, financed with $218,800,000 of warehouse debt, $2,100,000,000 of residential mortgage loans in securitization trust, and $305,500,000 of RMBS, including $25,500,000 of investments in commingled securitization entities, which are included in other assets on our balance sheet. We finished the quarter with undrawn loan financing capacity of approximately $1,000,000,000. Now looking at credit, we ended the quarter with the total portfolio weighted average percentage of loans 90-plus days delinquent at 2.18%, inclusive of our residential loan, securitized loan, and RMBS portfolio, a decrease of 2 basis points from the third quarter 2025 and a decrease of 25 basis points compared to year-end 2024. Performance across the Angel Oak shelf has remained strong. We believe the continued outperformance of our collateral relative to the broader market further differentiates our platform. This not only serves as a competitive advantage in terms of financing stability but also strengthens confidence in our earnings profile. Our shelf’s performance divergence, combined with consistent deal execution, reinforces our view we are well positioned as a leader in the non-QM market and that our securitization program remains a reliable and repeatable tool for earnings growth. We expect our differentiated credit performance to translate into lower losses than comparable non-QM platforms across a full credit cycle. This view is supported by a proactive migration up the credit spectrum, conservative LTVs, and a disciplined underwriting approach, which we believe position the portfolio to perform consistently even in more challenging environments. Three-month prepayment speeds for the RMBS securitized loan portfolio were 11.2% to end the quarter, reflecting an increase from 9.4% in the third quarter 2025. As we have mentioned in previous quarters, prepay speeds are expected to increase as rates decrease and homeowners are incentivized to refinance. With that said, as a reminder, we model our returns based on the historical average prepayment speeds of 20% to 30%. Prepayment speeds are likely to tick upwards if newly originated coupon rates continue to decrease. However, the majority of our portfolio still has coupon rates that are well below newly originated coupon rates, and we expect that mortgage rates would need to fall meaningfully in order to produce a significant impact to the returns on our portfolio. Finally, the company declared a $0.32 per share common dividend, which will be paid on 02/27/2026 to common shareholders of record as of 02/20/2026. For additional color on our financial results, please review the earnings supplement available on our website. I will now turn it back to Sreeni for closing remarks.
Sreeniwas Vikram Prabhu: Thank you, Brandon. We are optimistic about the future performance of Angel Oak Mortgage, Inc. and are excited to demonstrate the strength of our model in a steepening yield environment. The team has worked tirelessly to establish what we believe is the best non-QM loan origination, purchase, and securitization platform, which provides us the confidence for the future. We will maintain our focus on diligent trend selection, consistent securitization execution, and value-driven decision making, and we look forward to continuing to build long-term value for our shareholders in the coming quarters and years. We will now open for questions. Operator?
Operator: Thank you very much. We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question comes from Matthew Erdner with Jones Trading. Please go ahead.
Matthew Erdner: Hey, good morning, guys. Thanks for taking the question. Where are you guys seeing the best kind of risk-reward opportunities right now? You have mentioned kind of that whole loan portfolio purchases, or, I guess, what you currently have is it 709 basis points, call it, and then the HELOCs are about, give or take, 250 points higher. You know, where are you guys favoring your capital allocation right now for purchases?
Sreeniwas Vikram Prabhu: Thanks, Matt. This is Sreeni. We think we have a healthy mix of opportunities. Obviously, there is more relative value in terms of buying HELOCs for sure because the IRRs are better. But the long-term is more focused on non-QM. They both provide healthy returns for us, and I think you should see us continue to keep that mix. HELOCs can, the more you scale, you want to be very careful of the credit you underwrite, so we are extremely careful about what we underwrite in blocks, which is growing the volumes and securitizing it. The cleaner credit has always been non-QM for us. We like the returns there, and then we are selectively using HELOCs for a little bit more alpha.
Matthew Erdner: Got it. That is helpful. And then, where are you seeing the ROEs on each of those types of securitizations today?
Brandon Robert Filson: On the non-QM securitization front, we are still in that mid- to high-teens level. It should bounce around a little bit with rates coming down on the mortgages, but then spreads on the securitizations have come in. The HELOCs are going to be five, six, seven points higher than that on a fully securitized basis, so, you know, low-20s ROE perspectives.
Matthew Erdner: Got it. That is helpful. And then last one for me. Did you guys provide a book value update quarter to date?
Brandon Robert Filson: Our book value today, we think, is modestly increased from where we were at December 31.
Matthew Erdner: Got it. Thank you, guys. Thank you.
Operator: Thank you. Your next question comes from Douglas Michael Harter with UBS. Please go ahead.
Douglas Michael Harter: Thanks, and good morning. Can you talk about your ability to continue to recycle capital, either through calling deals or just optimizing financing? How much more capacity you have to grow with the existing capital base?
Brandon Robert Filson: We have a pretty good amount of power that we could still recycle and use. We have lots of unlevered loans in our book right now that we could choose to lever to continue to buy new loans. Our recourse debt-to-equity ratio leverage is very low. Our actual total amount borrowed on repo facilities is lower than it has been over the course of time, even though our RMBS portfolio has grown dramatically through securitizations. And then as we do these securitizations, we usually are releasing $2,030,000,000 in cash off of each one. So we have enough capacity for sure to take us through a similar buying clip into 2026.
Douglas Michael Harter: I appreciate that. Thank you.
Operator: Thank you. Next question comes from Timothy D’Agostino with B. Riley Securities. Please go ahead.
Timothy D’Agostino: Hi. Thank you. Good morning. Thanks for taking the question. My question is a little bit more general, just like to get your sense on how the market feels and the activity level, whether that be in non-QM, HELOC, as well as securitization markets, and how it feels different at the start of 2026 compared to 2025? Thank you.
Sreeniwas Vikram Prabhu: It is a good question. 2025 was a solid year across the board in the mortgage market; any part of the resi market was doing well. That continued into 2026. Taking the last two weeks of volatility out, we had seen spreads tightening in the securitization market. I think we printed a deal close to 100 basis points; it was 105, 110 basis points. They have widened out since, as the volatility has gotten into the entire market. The mortgage market itself seems to be solid. The non-QM market continues to grow. I think we are going to have more issuance this year than last year, and there are more players coming in, so it is getting competitive for sure. What we try to tell people, whether it is private funds or Angel Oak Mortgage, Inc., is that we originate what we can originate. We are not looking for scale per se; we are looking for quality and the relationships we have with those brokers. We have been in the market for so many years, we are able to not have to compete on price. Right now, the market is competing extremely on price because there are more entrants. People want to get bigger in this space. The growth is good, but it is coming with competitive pressures. There are going to be balance sheets which will have lower IRRs for sure, because getting pretty much brings lower IRR if you try to reset more loans. That is the backdrop we have. The non-QM market by itself continues to grow as there are more and more people looking for loans that do not fit the guidelines. As more people get self-employed, entrepreneurs, non-permanent employees, they need non-QM loans. How do I see this unfolding in 2026? We feel that there will be pockets of volatility. 2025, except April, was a phenomenal place. You cannot expect that. That is one of the reasons why we hit the securitization market as fast as we can. Rates are continuing to drop. You have seen that mortgage rates have dropped. We think generally, the market is going to be solid with some pockets of volatility.
Timothy D’Agostino: Great. Thanks so much. And then just a quick follow-up. Regarding HELOC securitizations, I believe, and correct me if I am wrong, earlier on the call, you said you are contributing to the second one. In terms of HELOC securitizations per year, would you say the pace is probably one to two? Or just any color there? Thanks.
Sreeniwas Vikram Prabhu: When we said two last year, that was to our entire franchise. You will probably see more from our entire franchise. I would speculate that Angel Oak Mortgage, Inc. will be more than one to two of them. That is what I have been thinking.
Brandon Robert Filson: I think that is probably right. I would tee up two for that. We just started buying HELOCs in 2025. We contributed to 2025-HB2 in December. If you follow that same pace, that puts us on the course of about two participations a year in the HELOC space.
Timothy D’Agostino: Okay. Great. Thank you so much for taking the questions today.
Sreeniwas Vikram Prabhu: Thank you.
Operator: Again, if you have a question, please press star then one. Our next question comes from Eric J. Hagen with BTIG. Please go ahead.
Eric J. Hagen: Hey. Thanks. Good morning. How are you guys thinking about this attention across the market right now on private credit, and the impact on other asset managers, and the knock-on effects that it could have on the resi and commercial mortgage markets? Do you think this raises attention on the underwriting, or could it affect the demand that we typically see from asset managers to buy whole loans or securitized products?
Sreeniwas Vikram Prabhu: We see this across what we at Angel Oak Partners see. We have ETFs, mutual funds, private credit in the mortgage space. We are traveling to raise institutional money, and we have Angel Oak Mortgage, Inc. as a public REIT. We see across the board what investors are thinking. A lot of money that went into so-called private credit went into corporate credit. There was institutional money from three, four years ago and then retail followed in the last couple of years. That is where a lot of money went. That is what happens when new money comes into a space and then gets worried; you see the momentum shift. In terms of other types of private credit—asset-backed, mortgage credit—generally, institutions are underinvested, and retail definitely is underinvested. They may invest through ETFs and mutual funds in buying bonds, but in terms of private credit in the mortgage space, they are under-allocated, and retail is definitely under-allocated. From that perspective, in terms of commercial, it is a little different because there are delinquencies and defaults happening in the commercial real estate sector. You have to dissect the good, the bad, the ugly. Very different. But in terms of asset-backed and resi, that is why you are not seeing any of the private credit side—any ABS or mortgage funds—in the crosshairs right now. Can it bleed into the mortgage sector? It could. But in terms of unwinding or what had happened to a couple of funds in the private credit space, we have not seen that in the mortgage or ABS space.
Eric J. Hagen: Okay. That is really helpful commentary. Good perspective there. How sensitive do you think the origination volume in the primary market non-QM could be if there is a backup in spreads in the secondary market? Which one is responding to the other? Do you think that spreads can stay this stable if we do get a steeper yield curve and higher longer-term interest rates?
Sreeniwas Vikram Prabhu: We have gone through a high-rate environment. If you go back to 2023, we saw high spreads in the secondary, and we had to combine that with high rates. As long as rates are range-bound—plus or minus 50 basis points—I believe volumes will continue to grow as people need more of these loans. It would not affect that much. It is driven by IRRs, obviously. We need to make IRRs for Angel Oak Mortgage, Inc. and for private funds, so our volumes will not be affected as much by that. A steeper yield curve which brings 10-year rates much higher—two things could happen. One is you could see the origination move towards a hybrid, more of fixed-to-floating kind of mortgages that will be out there. You have seen that happen a little bit more in the prime jumbo space. We have not seen that in our space yet. The curve is not steep enough to do that, so you could see that trend. On the stability of spreads, we are not expecting spreads to be static. For example, in the last two weeks, spreads have widened out again. As long as the spreads are in the range of 25 to 40 basis points, securitization markets will be healthy, and the origination activity will be healthy, I believe.
Eric J. Hagen: Great commentary. Appreciate you guys very much. Thank you.
Sreeniwas Vikram Prabhu: Thank you.
Operator: Thank you. This concludes our question and answer session. I would like to turn the conference back over to Mr. Brandon Robert Filson for any closing remarks.
Brandon Robert Filson: Thank you, everyone, for your time and interest in Angel Oak Mortgage, Inc. We look forward to connecting with you again next quarter. In the meantime, if you have any questions, please feel free to reach out to us.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.